Operator: Good morning and welcome to Townsquare’s Third Quarter Conference Call. As a reminder, today’s call is being recorded and your participation implies consent to such recording.  At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions].  With that, I would like to introduce the first speaker for today’s call, Claire Yenicay, Executive Vice President. Please go ahead.
Claire Yenicay: Thank you, operator, and good morning to everyone. Thank you for joining us today for Townsquare’s third quarter financial update. With me on the call today are Bill Wilson, our CEO; and Stuart Rosenstein, our CFO and Executive Vice President. Please note that during this call, we may make statements that provide information other than historical information, including statements relating to the company’s future expectations, plans and prospects. These statements are considered forward-looking statements under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties that could cause actual results to differ materially from these statements. These statements reflect the company’s beliefs based on current conditions, but are subject to certain risks and uncertainties, including those that are detailed in the company’s annual report on Form 10-K for the year ended December 31, 2019, filed with the SEC. We may also discuss certain non-GAAP financial measures, including adjusted EBITDA and adjusted operating income, which we may refer to as profit in our remarks to make certain pro forma adjustments. Such non-GAAP financial measures should be used in conjunction with all the information contained in the quarterly, year-end and current reports available on our website. At this time, I would like to turn the call over to Bill Wilson.
Bill Wilson: Thank you, Claire, and thank you all for joining us this morning. I’d like to start this call by acknowledging the hard work and dedication of the entire Townsquare team. Our team continues to impress me each and every day with their passion for what they do and their dedication to their local communities and to our company, as well as their adaptability during these challenging times. Our team's focus and commitment to do their job with their best effort each day, despite the circumstances, whether it be the challenges of the pandemic or the hurricanes that swept through our Louisiana markets twice, by super serving our audience and our local advertisers, has resulted in a significant improvement of our business each month since the pandemic hit as hard as in April. I'm proud to say that our third quarter financial results exceeded our goals and expectations, and as we look out to the fourth quarter, and into 2021, we believe that we will continue to see strong improvement in our business, absent any significant external disruptions. As I shared on our Q2 earnings call, my goal for Q3 was to improve our net revenue to close to negative 20% year-over-year from Q2's negative 35% year-over-year decline. In fact, our net revenue far exceeded this goal, with net revenue negative 15% year-over-year in Q3, an improvement of 20 percentage points. This led to a material increase in adjusted EBITDA from $2.1 million in Q2 to $17.5 million in Q3. We experienced sequential net revenue improvement throughout Q3, as our business continued to pick up pace with net revenue declining negative 21% in July, negative 16% in August and ending the quarter at a much improved negative 9% in September as compared to the same months in 2019. Our better-than-anticipated third quarter results were driven by gains in both our Townsquare Interactive and Advertising segments. Gains, which I am pleased to say, are continuing into the fourth quarter. I've spent the last two calls talking in-depth about how Townsquare Interactive, our digital marketing solution subscription business has outperformed during this crisis and its recession-resistant qualities. Today, I'll keep my highlights on Townsquare Interactive brief, and let the impressively strong results of this recurring subscription business speak for itself. As a tremendous resource for our local clients, Townsquare Interactive has delivered revenue, profit and subscriber growth throughout the pandemic, and Q3 was no different. Third quarter net revenue increased plus 14.5% over prior year, an improvement from Q2’s net revenue increase of plus 10.5%. In addition, Townsquare Interactive added approximately 1,150 net subscribers in Q3, ending the quarter with approximately 21,900 net subscribers, the 10th consecutive quarter of 850 or more net subscriber as adds and the most quarterly net subscriber adds in nearly six years. Let me repeat that. In the middle of a pandemic we added more quarterly net subscribers than any quarter since 2015, amazing.  Our Q3 net revenue for Townsquare Interactive was $18.2 million. And based on our current subscriber base, Townsquare Interactive’s run rate annual net revenue is over $79 million as of the end of Q3, and therefore, I am confident in reaffirming our expectation of Townsquare Interactive achieving $100 million in annual net revenue within two to three years. In addition, Townsquare Interactive continues to generate healthy profit margins, with Q3 margin of 30.2%, translating to $5.5 million of profits in the third quarter and over $15 million of profit in the first nine months of 2020. Looking to Q4, I expect Townsquare Interactive’s Q4 revenue growth to improve from Q3’s $18.2 million, which was an increase of $2.3 million in Q3 2020 compared to Q3 2019 to over $18.8 million, which would be an increase of over $2.7 million in Q4 2020 compared to Q4 2019, and thus, plus 17% growth in Q4 year-over-year. Given a pace of approximately 850 net subscriber adds per quarter, we expect to reach 30,000 subscribers in approximately 29 months or less. When we reach 30,000 subscribers, we expect our run rate net revenue at that point would be roughly $110 million on an annualized basis. This also reinforces our expectation that Townsquare Interactive will reach $100 million in annual net revenue, with approximately a 30% profit margin within two to three years. In total, our third quarter digital revenue increased plus 7% over the prior year period, and digital revenue accounted for 44% of our total net revenue. We believe this serves as a clear differentiator between Townsquare and others in local media.  Townsquare’s digital assets, be it our digital audience to our websites and apps, our video, social, mobile and programmatic advertising solutions or our robust subscription digital marketing services, and our ability to generate digital revenue proves out the fact that although we are proud of our roots and DNA in radio, Townsquare is not limited to being just a radio or audio company, but rather at this point can and quite honestly should be classified as a premier local media and digital marketing solutions company. And we believe our diversification has enabled us to rebound more quickly than others in the radio broadcast industry from the COVID-19 pandemic downturn. Our Advertising segment, which is composed of both our broadcast and digital advertising solutions, also improved greatly as its revenue decline improved to negative 17% year-over-year in Q3, a 20 point improvement from Q2's year-over-year decline of negative 38%. Our improvement was broad-based across the segment, with broadcast advertising revenue improving from a its low of negative 52% year-over-year in April to end at negative 45% in Q2, and finally, improved to negative 23% in Q3, ending the quarter with revenue declines of only negative 14% in September. Broadcast revenue improvement was driven by new local business generation, an improvement in national revenue, which is a very small part of our business, yet was one of the hardest hit revenue streams during the downturn with national broadcast revenue down negative 65% in the month of May as compared to the prior year. And of course strengthen in political, which I'll touch on in a few minutes.  Digital advertising revenue, which has been more resilient than broadcast advertising revenue throughout the pandemic, given the strength of our digital online audience and their engagement, actually increased in the third quarter, as compared to the prior year, something we are incredibly proud of. AMPED revenue, which is advertising revenue associated with our owned and operated local websites increased an impressive plus 9% in the third quarter compared to the prior year period. This revenue growth was supported by the popularity of our local websites as more and more people engage with our brands online to obtain information specific to their local community, with an average of 34 million people coming to our local websites each month during the third quarter, up an incredibly plus 84% versus Q3 of 2019.  As we have highlighted on previous earnings calls, as local newspapers and local TV stations have reduced their coverage and investment in local news in our size markets, the resulting coverage for the 67 cities that we serve locally has greatly diminished over the past 5 to 10 years. Townsquare has, through our websites and mobile apps, stepped into fill that void, which the COVID-19 pandemic has magnified. As a result, we are not only experiencing an all-time record number of people visiting our websites this year, but we are also experiencing an all-time record level of engagement, more visits per month, more article reads per visit, et cetera, which is one of the numerous reasons why our digital advertising solutions are performing so strongly, as more people than ever engage with our brands online to obtain information specific to their local community. To that point, as I highlighted on our last call, Google provided Townsquare a $260,000 grant for the creation of two news outlets serving the great cities of Tuscaloosa, Alabama and Portsmouth, New Hampshire. We've launched the Tuscaloosa Thread in early August, and in its first month, reached over 93,000 unique visitors, incredible. And in Portsmouth, New Hampshire market, in partnership with Google, we have recently launched the Seacoast, current brand, www.seacoastcurrent.com, one of the many silver linings of the pandemic has been a clear evidence that our local brands in our 67 markets are beloved by their communities, and are where the local audience turns to be informed and entertained across our broadcast and digital platforms.  Townsquare Ignite, our proprietary in-house technology platform and digital programmatic offering, increased revenue a very strong plus 10% in the third quarter, and plus 7.5% for the first nine months of 2020, compared to the same periods of 2019, making Townsquare Ignite our fastest growing advertising solutions for both periods. We believe that Ignite will continue to be among our fastest growing advertising solutions for the next several years, and remain confident in our estimate that Townsquare Ignite’s annual advertising revenue will reach $100 million in the next two to three years.  Touching now on political. Sufficed to say, [indiscernible], political revenue has been on fire this year. In the third quarter, political revenue was $4.5 million, more than 3 times what we booked in Q3 2016 during the previous presidential election cycle. Based on what is currently on the books today, we expect 2020 political revenue to be approximately $16 million, which is roughly 75% more than we booked in all of 2016. Improvement in our advertising business has continued thus far in Q4, in part due to the strength in political, the strength of digital, as well as the strength in new advertising business. In fact, October was our strongest new advertising business month of the year, defined as business from an advertiser, excluding political, that is not advertised with Townsquare in the last 13 months. And although the political surge is now behind us, our current forecast points to Q4 advertising revenue improving over Q3 with and without political revenues, given our expectation of continued strong rebound in broadcast, and impressive year-over-year growth in digital advertising in Q4.  The last point I want to touch on briefly, before handing the call overs to Stu, is a very important one. And that is to highlight our strong cash generation ability and liquidity position. In the third quarter, cash flow provided by continuing operations was positive $12 million and positive $24 million in the first nine months of 2020. And that is after making approximately $17 million of cash interest payments in 2020. We ended the quarter with $79 million of cash on the balance sheet. And we also have access to our $50 million undrawn revolver. And our business has recovered to the point that we are not concerned about our liquidity and the ability to meet our cash obligations going forward given current market circumstances.  Looking forward, if there were to be another wave of state shutdowns and a subsequent further downturn in advertising revenue, we are confident that we will be able to manage through it efficiently and effectively as we have done to-date and come out on the other side of this pandemic even further differentiated from our local media competitors. I trust that I have provided a very thorough in-depth perspective on not only Q3 results, but also what we are currently expecting in Q4. As you would expect, we will not be providing formal guidance for the fourth quarter given the COVID-19 pandemic. That said, our goal in Q4 is to improve net revenue from negative 15% decline in Q3 to half that or negative 7.5% decline in Q4 as compared to last year. And we are confident we can achieve that, given our talented team, the strength and continued growth of Townsquare Interactive subscriber base and continued improvement in our broadcast and digital advertising revenue, as well as the strength in political net revenue, which we estimate will be approximately $9 million in Q4.  As was the case in Q2 and Q3, where we had no material event revenue, we expect the same in Q4 and we are comping against $2 million in Live Event revenue in Q4 2019. We also expect to continue to see sequential improvement in adjusted EBITDA, as we begin to approach prior year profit levels and expect to build cash once again in the fourth quarter. With that, I'll turn the call over to Stu, who is going to discuss our financial results in much greater detail. Take it away, Stu.
Stuart Rosenstein: Thank you, Bill, and good morning, everyone. As a reminder, in 2019, we sold our Bridal Exposition Live Events, so our year-to-date 2019 results and year-to-date 2020 growth rates are presented pro forma for the sale of these Events, unless otherwise stated. Please refer to the tables, included in our earnings release, which provide GAAP results and pro forma results, as well as our non-GAAP performance measures.  As Bill mentioned, our third quarter financial results exceeded our original expectations, as the performance of our Advertising and Townsquare Interactive segments improved throughout the quarter and political revenue reached new heights. In total, third quarter net revenue decreased 15.3% over the prior year period to $95.3 million and third quarter adjusted EBITDA decreased 37.8% to $17.5 million. This has marked a significant improvement from second quarter revenue in adjusted EBITDA declines of approximately 35% and 93% respectively. In the third quarter, Townsquare Interactive subscription business experienced sequential revenue improvement throughout each month of this quarter. This translated to subscription revenue growth of 14.5% in Q3 and 13.7% in the first nine months of the year, compared to the prior year. In addition, Townsquare Interactive continues to generate healthy profit margins with the Q3 margin of 30.2% equaling $5.5 million of profit in the third quarter, and over $15 million of profit in the first nine months of 2020. Importantly and impressively, Townsquare Interactive grew net revenue and subscribers in each and every month of 2020, demonstrating its resilience as well as its importance to our SMBs. Third quarter Advertising net revenue declined 17.2%, as compared to the prior year period, a significant improvement from Q2's decline of 37.5%. Each month saw a sequential improvement, and we ended Q3 with advertising net revenue declining only 10.2% in September, compared to that of the prior year period.  Our digital advertising solutions returned to growth in the third quarter led by year-over-year net revenue growth from our AMPED and a Townsquare Ignite advertising solutions, which increased 9% and 10% in the third quarter. Broadcast advertising revenue saw also improved materially throughout the third quarter, narrowing decline from 45% in the second quarter to 23% in the third quarter, each as compared to the prior year periods. 2020 has been a record political year for the company. In Q3, political revenue was $4.5 million as compared to $886,000 in the third quarter of 2019 and $1.3 million in the third quarter of 2016, the last presidential election year. And we're currently forecasting full year 2020 political revenue to come in at approximately $16 million as compared to 2019’s $3.1 million and 2016’s $9 million.  Due to the pandemic, we're still not hosting Live Events resulting in third quarter Live Events net revenue declining nearly 100% versus the prior year. Fortunately, we’re prudently right sized our Live Events portfolio in 2018 and 2019 to align with Bill’s local-first strategy, and as a result, our cost basis now in 2020 is largely variable. Thus, if we do not host an event, we do not incur many of these expenses. Therefore, our third quarter net revenue for Live Events decreased nearly 100% versus the prior year period. Direct operating expenses decreased approximately 95% versus the prior year, and we were approximately breakeven for the quarter with a loss of approximately $93,000.  In the first nine months of 2020, Live Events net revenue declined 83%. Live Events direct operating expenses declined 82% compared to the prior year period, which resulted in positive adjusted operating income of $363,000. Given our largely variable expense base in Live Events, assuming no more event revenue for the remainder of 2020, we expect our Live Events division to breakeven on an EBITDA basis and cash flow basis for the year given our strong expense management.  In total, third quarter direct operating expenses decreased by 8%, compared to the third quarter of 2019. This was driven by the Live Events expense decreases, as well as a 7.6% decrease in advertising direct operating expenses, partially offset by an increase in Townsquare Interactive direct operating expenses of 16.7%. The declines in advertising direct operating expenses were driven by our cost reduction efforts enacted early in the year due to the pandemic and the reduction of variable expenses such as sales commissions. Due to prepayment we made this year to our bank term loan and bonds as well as lower LIBOR rates, interest expense for the third quarter declined approximately 9.8% or $800,000 as compared to the prior year period, and 7.5% or $1.9 million in the year-to-date period.  For the third quarter, net income from continuing operations was $1.3 million or $0.03 per diluted share, as compared to net income from continuing operations of $8.5 million or $0.29 per diluted share in the third quarter of 2019. The decrease was primarily due to decline in net revenue driven by the COVID-19 pandemic. We'd like to remind you that the provision for income taxes included on the face of the income statement is for GAAP financial statement purposes only. We maintained significant tax attributes including $191 million of federal NOL carry-forwards, and other substantial tax shields related to the tax amortization of our intangible assets. We continue to believe that we will not be a material tax payer until approximately the year 2026.  In the first nine months of 2020, we generated positive cash flow from continuing operations of approximately $23.8 million and $40.6 million prior to interest payments, thus demonstrating Townsquare’s strong cash flow generation ability and our capital expense management during the pandemic. As a reminder, following the onset of the pandemic, we enacted a series of cost cuts and cash preservation measures, such as eliminating our quarterly dividend and limiting capital expenditures to only those projects that are essential.  In the third quarter, CapEx declined $2.7 million or 48% and $3.3 million and 23% in the first nine months of the year, compared to the prior year period. We ended the quarter with $79.1 million of cash on our balance sheet. This is a reduction of less than $6 million since December 31, 2019, despite reducing long-term debt by $14.7 million, making a $4.2 million payment for dividends prior to us eliminating dividend and making $16.8 million of interest expense payments. In the near-term, we anticipate holding cash on the balance sheet in order to continue to preserve flexibility during the pandemic. However, our long-term goal remains the same, to reduce the net leverage to 4 times, which we have been on-track to achieve by the end of 2020 prior to the impact of this pandemic. At current market conditions, given the strength of our cash generation abilities and the recovery we did experience in our revenue year-to-date, we believe we have ample liquidity to operate our business for the foreseeable future. And with that, I will now turn the call back over to Bill.
Bill Wilson: Thanks, Stu, and thank you to everyone who has dialed in this morning. 2020 has been a challenging year, but one of the things our team has noted with great pride is that even with all of the challenges during the pandemic, we did not need to alter our core strategy, rather the pandemic has allowed us to separate from our local media peers by executing our existing strategy and placing a spotlight on the resulting success. Our focus on underserved small and medium sized local markets, our investment and commitment to local-first, and our investment in world-class personnel, technology and infrastructure had allowed us to build a strong digital platform with best of breed products, services and solutions, including a recurring digital subscription business, which together brings digital revenue to 44% of our total revenue. All of this contributed to our ability to mitigate revenue declines, and manage quite effectively through this downturn.  We want to ensure all of our stakeholders that we will continue to carefully manage through this crisis, however long it may last, and whatever turns it may take. As we have stated on earlier calls, our goal has been to balance cost reductions with our opportunity for long-term growth. We want to be best-positioned to emerge from this downturn more quickly and more efficiently than our competitors. And we believe that this strategy together with our diversified and differentiated in-house proprietary product offering ensures that we will be.  This call was a bit shorter than our last two calls, and that is because we wanted our Q3 results to speak for themselves, and we hope you agree that they do. However, we are always available to further discuss our great company. So, please do not hesitate to reach out and call us. Be well. And as we say internally, stay Townsquare strong.  And with that, operator, please open the call for any questions.
Operator: [Operator Instructions]. Our first question comes from the line of Michael Kupinski with NOBLE Capital Markets. Please proceed with your question. 
Michael Kupinski : Thank you and congratulations on your impressive quarter. Just a couple of questions. In terms of your cost reductions, your previous cost reductions, how much of those were permanent and how much do you -- as we think about Q4, how much of those operating expenses are going to flow through Q4 and maybe just give us some color on what your thoughts are on OpEx?
Bill Wilson: Sure. Hey, Micheal. Good morning. It's Bill. I'll have to Stu step-in and take that question for you.
Stuart Rosenstein: Hey, Michael. How are you? The majority of our -- the majority of the cost questions are going to be permanent. We will add back sales folks and investment in our digital products as time goes by. And when we feel comfortable the pandemic is in our rearview mirror, we think that we'll probably bring back the 401(k) match, but things like the dividend and all the permanent head-step reductions that we made, that we feel make us a stronger company, we're not going to bring back.
Michael Kupinski: Got you. And in terms of TSI, really impressive there. How many of those subscribers are in-market to your stations versus out of market, and how does that compare to maybe the year earlier results?
Bill Wilson: Yes. Michael, it's Bill again. So, thank you for the recognition of the Townsquare Interactive’s strength throughout the pandemic, and quite honestly, year-after-year. In terms of the subscriber growth, given the size of our inside sales team in Charlotte, each quarter we're adding more out of radio market clients and in-radio market clients. It's approaching 60:40, 60% outside our markets, 40% in our markets, but it hasn't hit that threshold yet. I think it's like 57% to be exact outside of our markets. But on a quarterly basis, we're adding more and more outside of our markets, which we expect. On prior calls, as you may recall, Michael, we talked about the addressable market of what we call the perfect SMBs that meet our profile of under $5 million in revenue, under 24 employees, population size of 1.5 million or less, there's 500 of those SMBs in our radio markets, our 67 radio markets, there's 8 million of those outside of our radio markets that fit the criteria that I just described. So our expectation is, as we approach that 30,000 subscriber base we talked about on the call and over a $100 million in annual revenue, we'll be adding more out of market TSI subscribers than in market.
Michael Kupinski: And Bill, the subscriber growth is really extraordinary. I was just wondering, is there any particular differences with the new subscribers added, like such as the business size, the number of locations of businesses or I mean, are we seeing -- or is it very similar to what we -- the types of businesses that you had before?
Bill Wilson: It's very similar to the types of businesses before. Obviously we’ve had the benefit of -- had really started this business organically in 2012, learned a lot for many years, and really I'd say perfected may be too strong a word, but really understand the SMB and what we can provide through Townsquare Interactive and really the ideal customer set. So, they haven't changed quite at all. And as we talked about during the pandemic, I think not only our company, but if you look at other companies like Wix or other publicly traded companies in this space, they've really done well because the pandemic has shown the value and importance of having a strong digital marketing presence, and that's why Townsquare Interactive is performing so well. I think it's, A, our talented team; and B it's more clear than ever the need for this service. And when you think about the scale we can provide, at an average price point of only $300 per month, and us to be able to in essence guarantee traffic to a SMB’s website, is a quite a valuable -- value proposition. So, we're really moderating investment in Townsquare Interactive just to keep the margins at 30%. Annualized that's what we target and we moderate that investment, as Stu just said in sales people and customer service people to obtain that. But the opportunity is vast. At one point, we could accelerate that investment. We're not going to do that during this pandemic. But I think on prior public earnings calls we talked about a second location out West, which post pandemic are still very much part of our plans. 
Michael Kupinski : Then a last question. In terms of the sequential improvement in advertising, can you give us a sense of maybe the categories that you're seeing strength? I understand that some are saying financial services are showing some improved strength. What are you seeing in terms of what's driving the sequential improvement in advertising? 
Bill Wilson: Yes, one of the things I'm most proud of from the team perspective, as I talked about in the last call, the team has adapted quite remarkably throughout the company in terms of the daily challenges, and obviously, as we were facing significant advertiser cancellation in March and April and May, and then you look at -- I'll start with the negatives for Q3, entertainment, and travel and auto and food, particularly entertainment, travel, auto, and food, those categories really are categories that we've done quite well with. So our account executives throughout our 67 markets had to really prospect and reach out to industries and categories that may not have been categories that we excelled at in the past. And that's why one of the things I'm most proud of is the new business generation, you're getting clients to advertise with us who are new advertisers to our platform is quite important, obviously, as you've got no events and you've got restricted travel and all those things.  So to answer your question, what we saw strength was in insurance, healthcare, recruiting, education -- and education, for example, and healthcare are -- typically are our largest categories and through the pandemic those have been our fastest growing categories.
Operator: Thank you. Our next question comes from line of Jim Goss with Barrington Research. Please proceed with your question.
Jim Goss: Thanks and good morning. No doubt you're aware that, as we were all being preparing for this call, the big news has been that the Pfizer vaccine was determined to be more than 90% effective nanopar with measles and smallpox without major side effects, which is a big game changer. And so I have a number of questions for you with regard to that. First, you just mentioned $330 a month, great value, is our pricing flexibility with TSI. What do you think the impact will be on each of your business operations as this -- the prospect of a vaccine and probably multiple vaccines would be more of a reality? And how would your strategy be adjusted and how quickly is any of this likely to occur? 
Bill Wilson: Yes, obviously exciting news for not only our country, but the world with Pfizer announcing earlier this morning that their vaccine is -- as you just noted, 90% effective which is in line with measles and other vaccines. So quite great news for everybody, on a personal level, including the economy and our business. How quickly that is going to be distributed? In that release, they expected review by the end of the month of November, and possible distribution in the first quarter. So I don't know when it will be distributed, but I would expect distribution of this vaccine or quite honestly I believe there'll be many others in the first half of 2021. We have as you know, moderated our expense reductions to make sure that we can capitalize on long-term growth prospects. So although this was hard to do, we did limit the full time reduction workforce 6% in early April, which although was hard decision, it was moderating the scope of what we were facing, and that's why our EBITDA in Q2 was roughly 2 million, and we were glad to see that bounce back so strongly in Q3. And we've seen sequential improvement across our revenue lines every single month, not only quarter-to-quarter, but literally every single month, be it broadcast, be it digital advertising, be it Ignite and everything we touched on.  So, our expectation is, whenever a vaccine does get widely distributed, and assuming obviously people take it, we will return back to our 2019 growth levels, which as you may recall, were high single-digit revenue growth approaching double-digit and double-digit EBITDA growth. So, that's what our expectation is post a vaccine and a post-COVID world. And we believe regardless of how long this pandemic last, and whatever turns it may take, if there's incremental cases spiking as we've seen over the last four weeks, with cases increasing and in certain markets hospitalizations increasing, we actually haven't seen those spikes lessen our recovery month-to-month, which I think is a testament to our team's adaptability, answering Michael's question and being more, I think prepared if things do change. But as it relates to a vaccine and what that means for our business, we clearly expect it to return to 2019 growth levels for revenue and profit.  And as I mentioned earlier, things that we put on hold like a second location for Townsquare Interactive out West, we would quickly ramp that up and therefore accelerate that businesses march to $100 million in revenue at a 30% profit margin. I know you had other questions, Jim. So, I'll turn it back to you.
Jim Goss : No, that's great. And I'm wondering like listener trends tended to be -- to -- there were bump ups to some extent with the in-home but radio tends to lean in the current type of situation. I wonder what you -- how do you expect that to balance out, even though radio maybe is well less important business as you become more of a digital company? And then the Live Events that have been mothballed I imagine they could be restart quickly. Do you think you'd probably start to think about putting some of those numbers back into your model for 2021 with this sort of news that we hoped would come but necessarily no. And then, I guess with the cost cuts that you and Mike were just discussing, that does seem to build in some better possibilities, than maybe you've been able to achieve, because now you have a better idea of what you really need and what you have been -- and any other enhancement in that question would be great.
Bill Wilson: Jim, I'll take them and if I missed any of them, just let me know. So, as it relates to Live Events, I think you know me well enough that I'm conservative in terms of our modeling. So even with this news, I would be modeling no mass gatherings of people for 2021. With this news, could that be accelerated, and we start to do Live Events next summer, into the fall? I clearly think that's a possibility. But as it relates to modeling and forecasting, we're conservative in that regard. So, we'll still plan on no Live Event revenue for 2021, and hopefully we'll have surprises to the upside. Given that our Live Event business, as you know, we were thankfully sold our NAME carnival business, we sold our music festival business, anything that was not core to our local markets and really almost like a brand extension at this point, we're getting great brand extension for our local radio station. We're getting great client activation opportunities.  That said, it's still a very small part of our company. It's less than $20 million in revenue. I think last -- 2019 was roughly $16 million in revenue, roughly $3 million in profits. So, although important strategically a very, very small part of our business. The great news is we have a variable workforce and our ability to then as you said, take it from a mothball scenario to actually executing, we can do that within 60 days. And we have a wonderful -- extremely talented woman, Ashley, who runs that force, has been with us for many, many years. So I feel very confident whenever a vaccine is distributed, and it's safe to have mass gatherings of people, 60 days later, we can be up and running for our Live Events.  As it relates to your last point and then I will circle back to your listenership question, you are correct, I believe as we look at post-pandemic, be that end of ‘20, second half of ‘20, be that ‘21 and ‘22 our profitability margins will improve for the reasons that you just touched on and Stu touched on earlier.  Going back to your first question, which is, to me, one of the most important because in media if you're a believer that funny follows eyeballs, obviously audience is critical. So as I shared on the prepared marks, I couldn't be more proud of our online audience and how that has grown so remarkably really year in and year out since we started the company and if we didn't have that -- and we didn’t have digital advertising growth like we did in Q3. And we talked about not only Ignite growth, but growth of our AMPED product line, which is our owned and operated inventory. We wouldn't have digital revenue being 44% of our company's total. But more importantly, we wouldn't be a diversified media company to act, whether this downturn as we have today will continue to do so.  So as it relates specifically to listenership, I actually think we get the best of both worlds as it relates to this pandemic. During this to that pandemic, we saw record number of consumers downloading our mobile apps, as well as utilizing our station through home devices like Amazon, Alexa and Google Home, which I believe, in essence, accelerated, already changing consumer behavior, which actually serves us quite well, because as we talked about in prior earnings calls, the mobile app -- each station has their own mobile app, when you get into an automobile, every consumer, what they do is they plug it into charger battery. And now, car dashboard is controlled by your phone. And given that all of our apps are integrated with Apple CarPlay and Android Auto, our apps show up on your dashboard not only that they're integrated into the steering wheel and all the controls of your car. So that is incredibly valuable to us with a potential disruption of dashboards in the next couple of decades. So that behavior has really benefited us.  But then as you said, as people get back to work and are in their car more, that has the additional benefit. What I would share is we're so blessed enough to be in the top 50 cities. It’s core to our strategy. It’s core to our local-first strategy. So commuting fine and listenership trends, even pre-pandemic, as you recall, Jim, are quite different for our company.  The good news for the broadcast industry from a radio perspective is that number of people listening to radio has been consistent for decades, 93% of Americans listen to radio every single week. What has been quite challenge for the industry is actually time spent listening, pre-pandemic, as well as through this pandemic. But good news is, listenership levels for Townsquare have been quite stable the last two years, even though the industry is declining. I -- to my core belief, that's a combination of our smaller market size, where radio really matters is companionship, or on-air talent or social influencers are now the fabric of the community where people tune in every day to be informed and entertained, which is quite different, in my view in large market, America. So I think the combination of the two gives us the benefit of accelerating consumer change on a digital footprint as it relates to listenership through apps and smart devices. And then to your point, people being either back to work and listening at work or listening more in the car, traveling to work, give us really a good wind at our backs as we come through the -- hopefully the second stage other last stage of this. So, Jim, hopefully, I answered those questions, but if you want to circle back on any of those or ask any others, feel free to.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Wilson for any final comments.
A - Bill Wilson: Thank you operator and thank you everybody for dialing in this morning and taking a few minutes of your Monday morning to hear about updates from our company. As Jim just said, we're obviously opportunistic about the news that Pfizer released this morning, but more importantly to you and us is -- or just as importantly is, we couldn't be more confident in where we are -- how we are recovering and where we are heading as company and just want to take the opportunity to thank the Townsquare's team for their tremendous adaptability and ability to concur our everyday challenges, and perform as well as we are during this pandemic and just thank the team and be safe, be well and as we say at Townsquare, stay Townsquare strong, and until next time. Thank you, operator.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.